Operator: Hello, everyone, and welcome to our third quarter 2024 results call. This event is being recorded. Our speakers today will be our CEO, Marcelo Benitez; and our CFO, Bart Vanhaeren. The slides for today's presentation are available on our website, along with the earnings release and our financial statements. Now please turn to Slide 2 for the safe harbor disclosure. We will be making forward-looking statements, which involve risks and uncertainties and could have a material impact on our results. On Slide 3, we define the non-IFRS metrics that we will reference throughout the presentation, and you can find reconciliation tables in the back of our earnings release and on our website. With those disclaimers out of the way, let me turn the call over to our CEO, Marcelo Benitez.
Marcelo Benitez : Thanks, Michelle, and hello, everyone. I appreciate you all being here to review the company's performance in the third quarter. This was an excellent quarter for us at Millicom. The actions we've taken over the last 15 months are clearly delivering results. Our restructuring is now almost complete. And even with significant one-off costs this quarter, we were able to generate a record equity free cash flow. We have successfully combined aggressive cost reduction, CapEx optimization and strong customer growth. And just as important, this very strong performance is broad-based with nearly every country producing much improved EBITDA and equity free cash flow. We are also advancing significantly in the organic side, having announced highly strategic transactions in Colombia and Costa Rica and an important tower transaction in Central America. Each of these transactions is expected to close in 20'25 and we expect that will enhance the company's return on capital in 2026 and beyond. I want to thank all our team members for these outstanding achievements. Your commitment to the company and our customers is at the heart of these results. Please turn to Slide 5 for the highlights of the quarter, Q3 was one of our strongest quarters ever. In terms of customer net additions with postpaid adds of almost 300,000 and home net adds of almost 70,000. These are the strongest net adds since 2021 when we were just coming out of the pandemic, which speaks to the strength of our performance this quarter and I want to recognize our sales teams who are out on the streets every day and deliver record levels of new customer activities in the quarter. We were able to deliver this strong customer growth while also sustaining a very robust cash flow generation, which reached a record of $271 million in this quarter, even better than Q2. As you can see, the efficiency programs we've implemented have made the company leaner and more cash generative and then also strengthen the commercial agility that Tigo has always been known for. Now let's review each of these highlights in more detail, beginning with our mobile business in the next slide. Our mobile business continued to perform very well in Q3 with service revenue growth of about 4%. This is coming mainly from the higher ARPU we are getting from the prepaid price increases we've implemented over the past year. And we also get an ARPU uplift where we migrate customers from prepaid to postpaid, which is a key component of our commercial strategy. As you can see in this slide, we continue to grow our postpaid base every quarter and in Q3 was exceptionally strong with net adds of almost 300,000. This solid performance is a direct result of the factors I discussed in our Q2 call 3 months ago. Specifically, we continue to invest in our networks to increase network capacity. I know that this is hard to believe. Because you see our CapEx is down almost 25% year-to-date. But the reality is that we are really doing more with the less. And every dollar of CapEx we spend is a return focus and is having a bigger impact than ever before. We have also simplified our commercial offerings, making it easier for our customers to see value in what we are providing. And our new plan emphasizes convergence, which drives lower churn, higher ARPU and a better customer lifetime value. And this is also driving improved net ads in our home business, as you can see in the next slide. On our Q2 call, we told you that we have been investing in our broadband networks, and that we were upgrading customer speeds. We also mentioned our shift from defensive to an offensive strategy. And in Q3, we took a step forward. We simplified our commercial offers. We focus our efforts on notes with low penetration rates. We strengthened our commercial capabilities and we pushed convergence. As a result of all these initiatives, customer satisfaction is up and churn is down and this is driving the improvement we are seeing in net adds, which is now solidly back in positive territory in 2024 and in Q3 in particular, and our home customer base is almost back to where they were last year. And this set us up for a positive return of service revenue growth in our home business sometime next year. Please turn to the next slide for a quick look at our B2B business, which had another solid quarter. B2B service revenue grew 5% organically in the quarter. Over the last 12 months, our B2B business is generating $980 million in revenues. A big part of the growth are coming from digital solutions, which grew 27% in Q3. As we discussed, the 2 large Panama projects has contributed meaningfully to our growth over the past year. And this is the direct results of investments we've made in our infrastructure, smart connectivity products, data centers, cloud solutions and digital solutions. We remain very focused on capturing our share of SME customer segment, which is growing at mid-single digits and where we are uniquely positioned to meet their needs for reliable and convergent solutions that help to grow their businesses. Now let's review our performance in our 3 largest countries, beginning with Colombia on the next slide. Colombia had another solid quarter in Q3. Customer net additions were very strong, as you can see in this slide. We added 180,000 postpaid customers, 40,000 home customers, and we also added nearly 0.25 million prepaid customers in this quarter. This was our stronger quarter since the pandemic in terms of new customer activity. As a result, what you're seeing is that our mobile service revenue continued to grow at an industry-leading rate of 8% in local or resi terms, and our home business is now starting to recover, and this sets us up for a stronger revenue growth in 2025. We achieved all this while keeping our EBITDA margins at 39%, 6 points higher than last year, despite additional restructuring costs this quarter as we work to ensure long-term profitability and sustainability in our most challenging market. Now please turn to the next slide to look at the Q3 performance in Guatemala. The key message here is that service revenue growth continued to accelerate in our largest market with growth of 4% in Q3. The acceleration is largely coming from ARPU in our mobile business. As you recall, we implemented a price increase in all our prepaid offerings over the past year, and these actions were well absorbed by the market. At the same time, we continue to implement our efficiency program. With margin consistently above 50% in recent years. Most of you probably did not expect that it was room to make the Guatemala even more efficient. But as you can see on this slide, we have managed to do exactly that over the past year. EBITDA of $220 million in the quarter was a new record and the margin of 55% was one of our highest ever. Our team in Guatemala is taking our operation to a whole new level of efficiency and profitability. I want to take a moment to congratulate the entire team for the focus on execution over the past year. Now let's look at Panama on next slide. These charts show you how our service revenues EBITDA and OCF has been trending on the last 12 months basis. We think it is helpful to look at Panama this way, given that some quarters were impacted by our large B2B contracts and by restructuring expenses. And when you look at Panama this way, the picture that emerges is that the business is growing very steadily. Our mobile and B2B business continued to grow double digits in the third quarter, and a lot of this growth is coming from mobile ARPU and from growth in postpaid. We see a big opportunity to transform Panama into a more postpaid market over time. And we think we are still in the early innings in terms of pursuing that opportunity. Likewise, we see a lot of opportunity in B2B going forward. The SME segment is expanding along with the economy. While large corporations are adopting digital solutions like smart connectivity, private and public cloud and cybersecurity services. Our targeted approach and specialized product portfolio are well suited to capture this growth. We anticipate ongoing digitalization of government services and our expertise in telemedicine, cybersecurity and cloud give us a unique advantage to compete for and secure these projects. So our top line is growing, and there are powerful long-term growth opportunities that should help us to sustain healthy growth in the future. Meanwhile, we've been busy implementing our efficiency programs, which drove margins to 27% in Q3. That's an increase of more than 4 percentage points over the past year, which is quite remarkable. Panama, with its stable and dollarized economy, is now generating close to $0.25 billion in OCF annually for the group. Now please turn to Slide 12 to look at the punch line for the quarter. On our Q2 call, we told you about all the initiatives we've already implemented to make the company more efficient, and these are paying off. As you can see, our equity free cash flow more than doubled compared to last year, and our leverage continued to decline rapidly and ended in Q3 at 2.59 times. We are pleased with results, but we continue to take steps to ensure that the company can continue to sustain and grow its cash flow well beyond this year. Finally, and before I turn the call over to Bart, please turn to the next slide to discuss the Landmark Tower transaction we announced last week. We are incredibly pleased to have reached an agreement with SBA. Like us, SBA already has a significant presence in Central America, and we are very enthusiastic about expanding our partnership with them. This transaction will unlock close to $1 billion in capital and is consistent with our plans to make Millicom a more efficient telecom operator by focusing on our core operations. We also entered into a build-to-suit agreement upto 2,500 new towers to be built by SBA over the next years. This BTS partnership will allow us to further optimize our CapEx as we continue to expand our mobile coverage in the region. Now let me turn the call over to Bart to review the financials for this quarter.
Bart Vanhaeren : Thank you, Marcelo. Please turn to Slide 15 for the financial highlights. Service revenue was $1.34 billion in the quarter, which is 1.8% of year-on-year or 2.4% organic. In the first 2 quarters, we had tailwinds from currency but now we are facing headwinds, notably in Colombia and Paraguay. As Marcelo already mentioned, our growth is mostly generated on the back of our mobile business, which grew 4.2%. And EBITDA was up 9.8% year-on-year to $585 million. Note, however, this included $73 million of restructuring and other one-off charges, which compares to $33 million of one-off charges in Q3 2023. The $73 million is composed mainly of $48 million in severance payments and $21 million insurance costs related to the [indiscernible] offer. As we discussed on the Q2 call, we are aiming to complete most of our restructuring this year. Note, however, that we are currently expecting significantly lower one-off charges improved for compared to Q2. Equity free cash flow for the quarter was $271 million, which compares to $100 million in Q3 of last year, another milestone achievement. Now please turn to the next slide. Guatemala service revenue of $350 million represented year-on-year growth of 4.0%, an acceleration from 3% in Q2 driven by mobile ARPU. I do not want to be overly optimistic on the trend here, though, because we've seen increased competitive pressure in recent weeks. Colombia service revenue of $331 million grew 1.6% year-on-year, an improvement from flat in Q2 2024, fueled by high single-digit growth in mobile coming from ARPU and a mid-single-digit growth in B2B. Our Home business sustained a double-digit decline in service revenue, but as Marcelo already discussed, we saw signs of recovery with 40,000 customers net adds this quarter. Panama service revenue was $170 million, up 5.3% year-on-year due to strong growth in both our mobile and B2B business. Bolivia service revenue increased 1.1% with positive growth in mobile and B2B offset by a low single-digit decline in Home. Now that we continue to be very conservative with capital deployment into Bolivia due to the difficult currency situation. Paraguay service revenue of $133 million increased 1.1% year-on-year with positive growth in B2B and Home, offset by a low single-digit decline in Mobile. Service revenue in our other markets comprised of El Salvador, Nicaragua, and Costa Rica was 0.8% in U.S. dollar terms, with growth in Mobile offset by a decline in Home, a very consistent story. Now please turn to the next slide for a look at EBITDA by Country. Rather than bringing you our country-by-country EBITDA growth numbers, I'd like to point you to a few key achievements. We have now managed to lift the EBITDA margin above 40% in nearly all our markets with Colombia being very close to it. So this is on a reported basis, hence it includes all the one-off costs and restructuring charges mentioned before. As you can see, all country segments contributed to this growth. Looking into the components of EBITDA growth, big picture, I see approximately half the growth came from incremental revenues and half from savings in operational OpEx. This is then a bit of severance -- increased corporate costs coming from severance as well as costs incurred by the Board for [Indiscernible]advisory related to the [Indiscernible]. Now please turn to Slide 18 for a look at equity free cash flow. As we've already discussed, EBITDA for the quarter was $585 million. That's up $48 million from last year despite the $73 million in restructuring and other one-off joints. Cash CapEx was $125 million. It was down $78 million versus last year, though that this includes approximately $13 million of proceeds from the Columbia Tower transaction announced earlier this year, that is included here as negative CapEx. So the underlying year-on-year cash CapEx reduction is $65 million. Changes in working capital and other was positive $51 million. This is $18 million better than last year, largely because a portion of the restructuring charges that were booked in the quarter having been paid yet whatever paid in stock. Finance charges were $118 million, which is down $19 million due to the reduction in debt over the past year. Lease payments were $83 million, an increase of $10 million due to the Columbia tower sale as well as annual inflation adjustments to most of the earnings. [Indiscernible] was $25 million, up $11 million from last year, mostly due to [Indiscernible]. As a result, the equity free cash flow was $271 million during the quarter. This represents an increase of $171 million compared to Q3 2023. We continue to use our cash flow generation to reduce net debt, which declined by $245 million this quarter, down to $5.4 billion. This brings our leverage down to 2.59 compared to 277 last quarter and 329 at the end of last year. Now please turn to Slide 19 to review our financial targets for 2024. In the first 9 months of the year, we generated equity free cash flow of $540 million, which includes $49 million of net proceeds from the Colombia tower sale partially offset by $8 million of taxes related to that deal, meaning, we generated about $500 million EFCF, excluding M&A in the first 3 quarters compared to our previous guidance of more than $600 million for the full year. Q4 is usually the strongest quarter of the year in terms of equity free cash flow, but there are a number of factors that we expect to pressure on cash flow in Q4 of 2024 compared to Q3. Specifically, we're expecting $50 million more cash CapEx and approximately $50 million less tailwind from working capital as we pay for some of the restructuring and other one-off costs that we incurred in Q3, and that we expect to pay in Q4 and then at the end, a bit more spectrum and more taxes. All in all, we, therefore, feel comfortable to increase our guidance again to around $650 million equity free cash flow for the full year. Now I do want to caution everyone that these forward-looking statements contain both risks and uncertainties and are still subject to capital allocation decisions and CapEx execution in the year to go, which can move this both up and down. We are now ready for your questions.
Operator: Thank you. We’ll now begin Q&A session. [Operator Instructions] Our first question will come from [Indiscernible] at ABG. Oscar, the line is yours. Oscar, the line is yours
Unidentified Analyst: Perfect. Thank you. So just the first question I would have on CapEx. Not sure I missed the last couple of words you said about the CapEx. So anything about the '24 CapEx guidance? I think you earlier alluded to around or below $700 million. And I mean you're tracking, I mean, quite low at the moment. And also as a run rate, if we can say anything about what we should expect going into 2025, please?
Marcelo Benitez : Yes, I would take the first one. As you can see, we are catching up on CapEx. We started the year defining a new framework on this return-based investments, that framework is already operational now. So we're comfortable to go back and to invest in capacity, mainly in the regions and departments where we see a lot of demand of data and also in increasing our capacity in the fixed. So as you can see in Q3, we've increased from more or less 8% of revenues to 12% of revenues. In CapEx without excluding spectrum. And we believe that, that will keep increasing in Q4. So we are very confident that we are going to stay below 700 as per the target of the year.
Unidentified Analyst: All right. And I mean, the 12% level, I think, I mean, obviously, you are a little bit below that at the moment, and it's increasing in Q4, but 12% of sales, is that sort of sustainable going into 2025, you think? Or do you think that the acceleration in Q4 will sort of continue into '25?
Marcelo Benitez : Well, I think the levels of '24 percentage-wise are going to be the same in '25. So -- and again, it's more about the new framework on return of investment. So -- and that is also mixed with a strong renegotiation of new contracts. So that also lowered the base of the CapEx. And also, we're not investing that much in very long-term projects -- in terms of IT transformation, we are focusing more in short term projects and, of course, availability of our systems. So all in all, we believe that we are going to be at the same percentage next year or this year.
Bart Vanhaeren: And maybe Oscar to add to that as you're asking for 2025, I mean we do believe that the levels that we have today are both recurring and sustainable, right? So that's how we prepare for 2025, with the bit of additional [indiscernible] that we have right now, we're already looking [Indiscernible] invest for next year to prepare for a strong 2025. Then there are some ups and downs. We might see a little bit more spectrum charges. But on the other side, we may have some working capital upside. So it moves a little bit over the different KPIs. But all in all, I think the key message is recurring, sustainable and we're looking for further upside next year as our full cost savings program start to be on a run rate business and less one-off restructuring costs. So that's how we look at 2025.
Unidentified Analyst: Understood. Next one, maybe a little bit more detail oriented but the latter transaction that you announced recently. So is there anything to say about expecting leasing costs, et cetera? And also, I mean, are there any sort of index clauses in the leasing agreements for the coming 15 years?
Marcelo Benitez : Yeah. So if you decompose these agreements of 17,000 towers we expect until around midyear next year closing, it is a package. So we expect everything to come more or less in the same moment. How this typically works, you lose a little bit of revenues, which is tenancies that we have with other operators on our towers. But then again, we also save on OpEx on maintenance and whatnot electricity. So on EBITDA level, I would say, it's more or less a wash, give or take, then below the line, you get the new leases that come in from the leaseback agreement with SBA and then you save on 2 fronts. One, we wouldn't have ground leases anymore because it's embedded in the new lease rates. And then two, you got a bit of a tax shield coming from the extra costs into your P&L. To give an indication, I would say, on a net basis, equity free cash flow impact you could think in your magnitude of around $40 million on an annual basis. So as we close in mid year, next year will be much lower than that. And then, yes. So that's a bit other than that Matt plays out on [Indiscernible].
Bart Vanhaeren : And there's an additional point also Oscar that we also entered into a BTS agreement which if you think about potential CapEx associated with building new sites every year, here, we're avoiding maybe somewhere around $30 million of CapEx per year with that BTS.
Unidentified Analyst: All right. So yes, that's very helpful. And just to the $40 million you alluded to Bart, -- is that -- I mean, I guess that's before interest payments because obviously, you're going to get a lot of gross proceeds, which -- I mean you could obviously reduce that than reduce your interest costs with.
Bart Vanhaeren : That's correct. That's correct. Yes, absolutely. [Indiscernible] And that is against the $975 million, minus taxes minus don't forget that our Honduras partner owns one third of the business in Honduras. So, for their sites, there's a bit of leakage there as well.
Unidentified Analyst: Got it. All right, thank you. Yeah. I just wanted to hear your thoughts about the leverage. I mean, we expect to do coming around 2.5 or maybe a little bit below 2.5. How do you think about shareholder remuneration after the 2.5? Or should we expect anything not until you come under 2 points? Or how should we think?
Bart Vanhaeren : Well, I think, first of all, we've been walking the talk, right? So we didn't do any shareholder remuneration until we get to 2.5. We're not yet there, we're almost there. So we're very confident for year-end. But I want to see it there before really opening that discussion. We'll get -- we have a strategic session with the board in the beginning of the year. Business wise, this is typically discussed. But we do have a lot of equity free cash flow coming in next year, like this year, plus the proceeds potentially from the towers. Let's wait until we have it in the bank and then make a decision. But, on the other side, we have Colombia M&A to pay for, but surely, if everything materializes, we will still have a significant amount of excess cash. Up to now, we've been repaying debt. We did more than $0.5 billion this year already. And so we could continue that. But it comes in a broader discussion of capital allocation. What do we do? Organic investment is the priority. But as Marcelo mentioned, the CapEx portfolio that we have today, we feel comfortable that is sufficient recurring and services and needs for the business. Then we have a continuous deleveraging and save on interest payments, which is good and have a strong balance sheet. We could do more M&A, nothing that is planned right now, but that's part of capital allocation decisions. And then lastly, and it's in no particular order, but then lastly, shareholder remuneration, either in the form of share buyback or in the form of dividends and then just the dividend policy, we would need to publish. If you do that, we would follow either an AGM in May or an EGM should be out of the cycle. So that's a bit the options on there. It's more giving you the menu than giving you a direction on where we are. But if everything works out, we should have excess cash during the year.
Unidentified Analyst: Thank you very much.
Operator: We're going to go now to Andreas Coello at Scotiabank. Andreas?
Andres Coello : Yes, guys. Good morning. Can you give us an update on the M&A process in Colombia? How are you doing in terms of the permits? How is the permits with the municipality in -- at the municipal level and also at the central level and the federal level regarding the [Indiscernible] Coltel acquisition? That's my first question. My second question is just to confirm with you that you already have approved a buyback program for 10% of your market cap. You already said that you are waiting for leverage to come down to 2.5. But I understand that you don't need extra permits to launch a buyback program. So just thinking when could we start to see some of those buybacks? Thank you.
Bart Vanhaeren : Let me start and then Marcello, you can compete where I fall short. But so 1 on Colombia, so we announced the transaction with Telefonica and agreement with Telefonica to do transaction. We are in the middle of negotiations of the loan forms. And we are also in the process of doing all the regulatory filings. Those filings should come out very shortly. We don't need to technically wait to have everything fully landed. And so we're going to go out with that very soon. The governments on both sides, [Indiscernible] on the other side. They are running a process of privatization process of their stakes into [Indiscernible]. So there's not a ton that we can do. We can be involved, but it's an independent process that they need to run, which starts with fairness opinion on valuation, then they need to offer it to sector, which is the public -- the general public, and then it goes to the tender. So what we are doing is agreeing and how does our offer fits in that -- on both sides. And that should also, in the -- probably in the first quarter of the year, get more clarity around that. We are still starting a transaction in Q4, and let's say, next year hopefully.
Andres Coello : Let me ask a technical question on that. Could you buy the Telefonica stake without the government selling their stake? Can you control it and have government as your partner?
Bart Vanhaeren : A very fair question. And in Q2, we have with something similar. What cannot happen is that Millicom owns a portion in both companies and then not be able to synergize in between 2. So that cannot happen, right? And we wouldn't want to be in such a position. What we are able to do is we can merge the entities and both governments can stay in or can decide to sell it. We are fine with both options. We've been working fantastically with EPM for many years, good partners, they can stay in and with the merchant capacity very willing to make them that offer likely we did to Telefonica and the same for the government. So one is, the condition is that we can merge the 2 companies to the structure players.
Marcelo Benitez : Just to complement there, Andres. I mean, as you know, Colombia is 1 of our -- is the most challenging market where we operate to many operators, high spectrum prices, pressure on ARPU. So I think this is very -- I mean, it's very positive for Colombia. The demand of data is there. Colombia needs strong operators in order to capture and convert that demand in consumption. So we do believe that everybody is looking at the same thing. So we want to fix the same problem. So on our behalf, we are doing everything that is on our hands to land this in the second half of next year. So we are also following very closely, even though it's independently the process of EPM and [Indiscernible]. But we are positive on the timeline and on the fact that in H2 next year, we can have something done.
Bart Vanhaeren : And then regarding share buyback, Andres, I mean, with 2 portions of share buyback, 1 portion. So one, yes, we have 10% that can be approved by the Board. Give a portion of these really shareholder remuneration and a portion of shares that we might need to buy for equity grants as part of the remuneration of the number of people in the company. So there are 2 impacts. One to repurchase some shares to pay for the salaries or the benefits, et cetera, I think that we can do quite independently and when needed, we can replenish the treasury shares. When it comes to shareholder remuneration, or rather sees in the context of capital allocation, and would want to have a more strategic session with the Board to decide on that on when do we start with a repurchase program versus a dividend and have that clear.
Andres Coello : Okay. Thank you.
Operator: So next, we're going to go to Andreas Joelsson at Carnegie.
Andreas Joelsson : Hello, good morning, good afternoon to everyone. Follow-up on the tower deal. You have 2,500 remaining towers, I think, within the last project. Would you say it's likely that those will also be divested -- and on the proceeds that you have received from the 7,000 that you've already announced, what's the tax rate on that amount. I have more follow-ups later.
Marcelo Benitez : So the 2,500, a big chunk of that is in Bolivia. Then we have a number in Paraguay and then another number that is still within the transaction perimeter of countries. But those are sites that are within our tower -- sorry, within our data center, within our NOC, within on very difficult places for third parties to come and maintain and deal with Atlantis and [Indiscernible]. So Bolivia, probably considering the currency situation right now, it doesn't come very as a top priority for me to now go and try and sell those towers there, have a very difficult negotiation around. Do we pay in dollars in local currency? How do we get the proceeds? How do we get the money out? So I wouldn't say that those 2,500 remaining towers are 1 going to come very soon in any case, not very large amounts of proceeds. So just to manage the expectation there. Your second question was on the 7,000 towers?
Andreas Joelsson : Yeah, the tax rate.
Bart Vanhaeren : Hard to say at this moment. I mean, we haven't disclosed any specific numbers around that. Maybe in -- to give you some type of indication, we are selling [Indiscernible] International Luxembourg in line with previous quarters where we explained the work that we were doing. We were transferring towers from a local operation, let's say, the mobile business into [Indiscernible] a fully independent structure. It's a subsidiary for Millicom Group, our headquarter, and then has a full structure below with all the countries having [Indiscernible] entity. And so we're selling International from Luxembourg, which is a quite efficient way of separating us from the towers.
Andreas Joelsson : I should have learned that by now. On Bolivia, on that note, as you say, the currency is under pressure. How how do you reason on that? Let's say that there is a devaluation. How do you see that impacting you on P&L and on cash flow?
Bart Vanhaeren : On Bolivia, I mean, what -- actually, what we see is that it is -- we do have some -- there is political, let's say, instability. We do have a bit of unrest -- social unrest, and that is putting a little pressure on the economy, and therefore, our ARPUs and our customers' pockets. So what we are doing there is, first we are being very cautious on our investments. We are, yes, investing in our capacity in mobile. Second, we have implemented the full playbook of our efficiency program. So you will see that in the EBITDA growth of this quarter. And additionally to that, we have localized to the local currency, almost 85% of all our OpEx and direct cost. So we are very well equipped for the storm. What I would say is that -- we do expect the valuation next year. It's very difficult to expect late how much -- but our portfolio allows us to deal with these situations. As you know, we have 2 operations with dollarized economies, Guatemala and Honduras as very stable currencies. So this is like we say here at the Millicom business as usual. So we are contemplating this for next year's budget, and we don't see that it will have a material impact on our ability to keep delivering equity free cash flow.
Andreas Joelsson : Perfect. And the final one for me. On Colombia, as you have said, very strong subscriber intake or customer intake during the quarter. Can you explain a little bit more why that happened? It looks like, at least in an Excel chart that it looked quite -- happened quite sudden. Is there any risk that there will be a churn on that in the coming quarters? Or how should we see it? And overall in the group, I get the sense that you are looking for more customer intake. Does that fit within the current cost structure that you have?
Bart Vanhaeren : Yeah. I mean 2 questions there, right? On Colombia, we do see that this is a very healthy growth. Just to give you an example, in postpaid, 35% of the new customers are coming through our FMC offers. These customers come with very low churn, below 2%, and then we do have then the other 70% is coming from our base in postpaid and from the portability channel. What we do see is that these are customers that are consuming after they migrate from prepaid to postpaid. So we don't see that there is going to be any further impact on churn in the future. What we do see is that our ability to keep growing our base is going to remain strong. In home, what we do is we have extended our capillarity through the deal with ETB in Bogota. And what we are doing is we are just filling the network with our simplified offer. We have very few offers, easy to understand, and we have strengthened our commercial capacity in the streets. We open new stores. We have new salespeople. We are also strengthening our digital channels, and that is paying off. Again, all these new customers are coming with very low early churn. So we don't see neither any impact in the near future. These are real customers they are consuming, and they are paying.
Andreas Joelsson : Thank you very much.
Operator: So next, we'll go to Stefan Gauffin at DNB.
Stefan Gauffin : Yes. Andreas managed to take several of my questions, but I have a couple of more. First of all, you -- I think you mentioned that you saw increased competition in Guatemala in recent weeks. So can you please just elaborate on that and what you're seeing there?
Marcelo Benitez : Yes. And as you know, we have a big portion of the market in Guatemala, right, almost 11.5 million customers in Mobile. So we have a very strong brand. We have -- I mean in Guatemala historically, yes, we've been very good at keeping and growing our prepaid base. Over the last 12 months, we started across the board, including Guatemala to start increasing prices in prepaid in order to monetize the increase in consumption that was taken very well by all the markets, including Guatemala. The main challenge we have is that in some very relevant departments in Guatemala, we were playing alone. So we were the only ones in these departments and Claro has invested aggressively in these new areas. So naturally, when you have I mean the full spectrum of the customers in 1 department and you start having a competitor, there is pressure on ARPUs and pressure on customer, on gross adds of new customers. So what we are doing there is we have -- we are defending on those territories with 3 key, let's say, it's part of our playbook, right? We call it the AAA, right? It's availability, affordability, and accessibility. So it's strengthening our networks. We are catching up on Mobile capacity in these sites. We have a very aggressive plan to do that. Second is we are strengthening our distribution with our point of sales, direct salesforce and household points of activation. And the third is we are giving more resources for the same ticket, right? So the price per gigabyte in those areas are decreasing. All in all, to tell you, Stefan, this is what we do. I mean we know how to defend ourselves and we are doing exactly that in Guatemala. This is still -- I mean, if you see the gross adds. The negative gross adds was 90,000 negative in the quarter. It's still a very small portion of the total base in Guatemala. So this is more or less the dynamic of the prepaid market that we see just laying out in Guatemala.
Bart Vanhaeren : And perhaps Stefan, if I can just complement there. We -- it's important to say, we actually had very, very strong postpaid net adds in Guatemala. So there are some -- definitely some pockets of strength as well.
Stefan Gauffin : Yeah. And then just a clarification. I mean the one-off costs are fairly high this quarter. Can you just give information on how much of this is related to restructuring charges. And what does this make to the overall cost saving program? You had reached the level of $250 million in run rate savings. Can you update on what to expect there? And then also on restructuring charges for Q4. I believe you said earlier that there would come more restructuring charges in the second half.
Marcelo Benitez : So, yeah, out of the restructuring charges today, I think in the third quarter, I want to call out a little bit more than $20 million that relates to cost incurred by our independent Board in the defense against the Atlas tender offer and the work streams around that. So that was a significant element in Q3. The biggest chunk of the remaining -- remains severance payments. And in there, I think it's important to flag out and here as well, we have the separation agreement with our former CEO. And those numbers are also fully reflected in our Q3 numbers. So that -- so in Q4, we want to -- this year to finalize all of our -- or significantly all of our restructuring. So there will be a little bit more that you will see in Q4, but it's not to the level that you've seen in Q3. And again, remove the defense charges. And then from that number, you can take a haircut because it's not going to be at the same level in Q4 and in Q3.
Stefan Gauffin : Can you update a little bit on sort of the run rate on the cost saving program?
Marcelo Benitez : Yeah. So year-to-date, you will see that how much we spend, I think we did more or less $100 billion in severance payments this year. Severance is -- if you see in our operational expenditures, our savings run rate, half of it comes from GRC and half of it comes from other operational OpEx. So your numbers that you indicate triangulates quite well on the OpEx side. And then, there is a savings on the CapEx. As we indicated, we're going to be a little bit below $700 million, and we believe that, that's the level that will be recurring going forward. So with those 2 elements, you kind of made the same numbers that I'm seeing. So OpEx savings half is GRC, half is third-party contracts and services. And then in the CapEx, you see that it is the $700 million, a little bit closer to $700 million.
Stefan Gauffin : Okay, thank you.
Operator: So next, we'll go to Marcelo Santos at JPMorgan.
Marcelo Santos : Good morning, Marcelo, Bart. Thank you for taking my question. I have actually 2. The first question is about the CapEx for 2025. I think you guys mentioned that as a percentage of revenue, it should be quite similar to what we are having this year. I wanted to understand if you're embedding in 2025, some kind of acceleration in their home business, some faster deployment or should also be more similar to what we're seeing now. So I just want to know the moving parts in this CapEx. And then deep diving a bit into the Colombian fixed business, the Home business in Colombia. It has been a bit weak. So I wondered just if you could zoom in and comment a bit on the challenges and opportunities that you see there? How qualitatively things should unfold? Thank you.
Marcelo Benitez : Marcelo. So on the first one, the way we see, the framework we're building and now is operational -- it's -- we do prioritize first the capacity, capacity in our fixed and mobile networks. The capacity is at the core of our customer experience. So we need to make sure that we can provide a good service level to our customers. Moving a little bit deeper there, we are doing granular analysis to understand where is the demand, in what areas and regions we see the biggest demand? So the capacity priorities are going to those places where we can untap that demand and transform that in consumptions and ARPU. So there is a little bit of more granularity of how we manage CapEx is per municipality and per CVE in Mobile and per note in Home. So that's where you see a bit of a reduction. On the commercial CapEx, we are not leaving anything on the table. I mean we are -- as you can see, I mean, these new net adds of 68,000, they do come with a commercial CapEx. So we do view 2025 to keep increasing the net adds, and we do -- we are including in the envelope of the CapEx needed for that. And then you have the third piece, that is IT, where, as I said, we are looking to a very, I mean, sprint of transformation and not very long-term and deep transformational projects. Our industry is -- in many ways, the customer behavior changes so rapidly that we need to have shorter sprints, of course, try to digitalize outside the relationship with the customer and internally as well. So that's where you see a little bit of a more focus on the IT CapEx. We feel comfortable that we will be at the same rate as this year without leaving any of these things on the table. Additionally to this, we have the BTS agreement with SBA that would allow us as well to start building more coverage in mobile, especially in the north of Central America, where we do see opportunities to grow in network -- mobile network coverage.
Marcelo Santos : Columbia Home challenges and opportunities.
Marcelo Benitez : Well, -- in Colombia, what we see is, we are growing very well in our gross adds that has to do mainly because of our extended Home pass that we have in Bogota and our new approach. Our new commercial approach that is a simplified offers, more commercial power in the streets and FMC. So what we do see is that we can keep the current rate of net adds for this year for sure and for next year as well. We have a lot of room to keep growing in net adds in Colombia. You will see, though, that the revenues does not catch up that fast and that has to do with one the FMC offer comes with lower churn, larger customer life cycle, but lower ARPU, right? So it takes a little bit more of time to see that reflected in the revenues. And the second piece is that we are looking at a lot of new gross adds of only BBI. So that comes with higher margins. But as also you lose the ARPU related to TV. But this is, again, a better margins and a more stable base going forward.
Marcelo Santos : Thank you very much.
Operator: So we'll take our last question from Gustavo [Indiscernible] at UBS.
Unidentified Analyst: Hi, everyone. First of all, congrats on the results. Two questions from my end. The first 1 regarding B2B, could you guys comment on the performance of the quarter? We've seen some lower sequential growth. So if you could comment on project pipeline and what are the growth avenues you guys see? And maybe how you see margins for this specific segment? And the second one, just a follow-up on the tower sales. You guys mentioned the $40 million impact for equity free cash flow? Is that for this year, just to check it up? Thank you.
Marcelo Benitez : Yeah, I will take the first one. So in B2B, what we see is that there are 2 sources of -- 3 sources of growth, right? The first one is SME. We are very well equipped to converge services for that segment. That is a segment that needs a one-stop solution, right? They need mobile and fixed. So the strategy there is to industrialize the commercial activity and to improve how we serve those customers with a very simple offer, convergent and good customer service. That is starting to pick up. In some countries, it's growing faster, like Paraguay or Salvador, and we are planning to speed up in all the countries. The second avenue of growth is digital solutions. And there, we have smart connectivity with SD-WAN. We have a private and public cloud. We do have 11 data centers in Latin America, and we have. We see a strong demand in cybersecurity services, where we do have a very complete portfolio. So digital services are growing 27%. And this is -- this is a segment with very low churn. So all the growth is basically staying with us. So we see a lot of growth there and then the third one is converging services on the big company. We have companies that are still only mobile or only fixed or they do not have digital solutions. So upselling and converting the large segments is the third opportunity. There are some -- but these are very selective projects like the ones we did in Panama. But as you can understand, these are projects that are very difficult to replicate, the teleradiology project, the telemedicine project in Panama, it's a $207 million project for 7 years, very complex. We do have the capabilities to replicate, but this is going to be very, very tactical and opportunistic depending because the ecosystem, government, private sector, we need to be aligned very much in order to step in these kind of projects. And we are very open to do it, but these are more tactical and opportunistic.
Bart Vanhaeren : And Gustavo, the sequential, you referenced a sequential slowdown. But keep in mind that we have a significant contribution coming from Colombia, where we had a weaker exchange rate. So if you're looking at things in dollars, you also need to adjust for FX.
Unidentified Analyst: All right. Very clear. And regarding a follow-up question, just to be clear, I'm talking about the leasing payments impact from the [Indiscernible] sale, you mentioned, if I'm not mistaken, $40 million. Is that for this year?
Marcelo Benitez : So, no. So, this year, there is no impact, right? So we would start to pay leases after the transaction closes somewhere halfway next year. The $40 million is on an annual run rate basis. So if we close half year, that will be 20 for next year. And I think to Oscar's point also, depending on the use of proceeds, could be offset by lower interest rates or proceeds from or whatever the use of the money will be. But all of that happens below the EBITDA line, right?
Unidentified Analyst: Very clear. Thanks again for the opportunity to ask questions.
Marcelo Benitez : Thank you, Gustavo.
Operator: Thank you, everyone. So that concludes the call for the Q3. Thank you very much for participating.
Marcelo Benitez: Thank you.
Bart Vanhaeren : Thank you.